Katarina Rautenberg: Welcome to the presentation of Investment AB Latour's Interim Report for the Second Quarter 2025. [Operator Instructions] I will now hand over to CEO, Johan Hjertonsson and CFO, Mikael Johnsson Albrektsson.
Johan Hjertonsson: Thank you, Katarina. Very welcome, everybody, to our presentation of the Q2 report 2025. And as Katarina said, I'm here with our new CFO, Mikael Johnsson Albrektsson. So very welcome, Mikael, to your first presentation for the Latour quarterly results. As you can see on the first slide, overall group structure is unchanged. And despite the challenging business climate and unstable geopolitical situation, we see a continued good performance in our businesses and we're very happy with that. The general demand is quite good in many of the markets that we operate on but it varies between regions and industries. We grow organically during the quarter in both order intake and net sales. However, we had some headwind from negative currency effects that affected our gross margin slightly. Despite the short-term external instability, we continue to invest in our companies and this is truly a Latour strength. We invest to ensure long-term growth and profitability in a tougher climate. As you all have seen during the summer, there has been some clarifications regarding the U.S. tariffs during the summer, where imports from Europe will be charged with 15%. But there's still some uncertainty left, for instance, which products are exempted and which materials to mention one area. Latour's exposure in the U.S. corresponds to 11% of our total net sales and the effect from the tariffs are limited for the overall result and performance of Latour. We import about half of the volume from Europe that we sell in the U.S., which corresponds to 5% of our total net sales. Some of the imported goods have so far been included in the exempted products and thereby not affected by the tariffs. Caljan, Hultafors Group, Nord-Lock Group and REAC within Latour Industries have the most exposure to the U.S. market. We do have local production in some cases and in others, we will pass on the higher cost to the customers. But overall, the message is it does not have a big impact or a material impact on the Latour results as such. If we go to the next slide and we -- to comment a bit on our listed holdings. Our portfolio is 10 listed holdings, as you know. And the development in our listed companies that has reported for Q2 and I think they've all reported now, is relatively good considering the business climate overall. Clearly very positive underlying growth and profit development over the last 10 years, as you can see. We own quality companies, well positioned and with the ability to grow and win market shares in both booms and recessions. And then we go to the next slide. No major changes within the listed portfolio during the quarter. Earlier this year, we increased our holding in CTEK to 35.3% of the share capital. The stock market was somewhat hampered at the end of June but recovered somewhat since then. Value development of our listed portfolio was minus 4.2% at the end of June, whereas the SIXRX was 2.3%. And until yesterday, August 18, the portfolio value was SEK 87.4 billion. Total return amounts to plus/minus 0% so far this year, whereas SIXRX are at -- is at 5.1%. And then we go to comment our wholly owned industrial operations. Our wholly owned operations continue to perform well despite the challenging conditions. Order intake increased by 9%, of which 3% was organic and net sales increased by 9%, of which 2% was organic. And we're very happy to report organic growth in both order intake and net sales in a tough market. In most markets where we operate, we have an ongoing recession. The overall demand is fairly good on the markets that we operate on but the picture is quite mixed, as I said, between regions and industries. The downturn combined with geopolitical instability affect customer decision- making, which generally takes longer time, primarily impacted order intake in some of our project-based businesses within Caljan, Nord-Lock and Swegon. But once again, a mixed picture. Nord-Lock reported a record quarter. Swegon is organically in line with last year, whilst Caljan is softer than last year. Hultafors Group is affected by the slowdown within the construction industry and real estate markets in Europe and the tariffs in the U.S. and is reporting net sales slightly below last year's level. However, order intake is growing for the majority of our companies with exposure to those markets and we are most likely gaining market shares, not least within Bemsiq and Innovalift. The total order backlog has increased during the quarter, ensuring stable net sales outlook going forward for the remainder of the year. We have good cost control and agile businesses. Adjusted operating profit increased to SEK 989 million in the quarter. And as you all know and large currency fluctuations affected the gross market -- the gross margin negatively in parts of the operations. The operating margin amounts to 13.9%. And if we comment on acquisitions, during the quarter, Innovalift has acquired Syntium Lifts in the U.K. and Nord-Lock has acquired 75% of the shares in Energy Bolting in the U.K. Syntium is a leading U.K. specialist distributor of lift communication products for elevators, primarily for the growing modernization segment. Syntium have annual net sales of about GBP 2 million. Energy Bolting is a U.K.-based manufacturer of critical fasteners. The company has annual net sales exceeding GBP 7 million. Earlier this year, we have finalized 5 acquisitions. All in all, the conducted acquisitions during the year adds another SEK 1.8 billion in net sales on an annual basis. And we're very happy with that. And so a good start to the year in the first half of the year in acquisitions and continued strong performance in the wholly owned business in Q2. So I think the main summary, there is organic growth order -- both in order intake and in net sales is quite a strong sign. So having said that, I hand over to Mikael to comment on our business areas and so forth. So over to you, Mikael.
Mikael Johnsson Albrektsson: Thank you, Johan. And we start with Bemsiq Group. Bemsiq had a continued good performance in the quarter with growing order intake, driven by both organic growth and acquisitions. The total growth in net sales was 11%, of which 9% were organic growth. a strong performance considering the challenging market within the real estate and construction industries. The adjusted operating profit amounted to SEK 120 million with a strong margin of 21.6%, with good contributions from all parts of the group. Very well done, [ Anselmi ] and team. If we then turn the page, we focus towards Caljan. And as Johan mentioned earlier, Caljan is affected by the geopolitical instability, where customers' decision-making regarding investments generally takes longer time. Order intake is in the down 3% compared to last year but the order backlog is still at a healthy level. Net sales is growing organically by 26% during the quarter, driven by the loading and unloading segments. Caljan has conducted a cost-saving program to decrease fixed costs, while maintaining the level of service to customers and this has resulted in a substantially lower cost base this year. This initiative, together with a strong gross margin, combined with high volumes contributes to an adjusted operating profit amounting to SEK 86 million, well over last year's level. corresponding to an operating margin increasing to 19%. Thank you and very well done, we say to [ Henrik ] and team. We then turn our focus towards Hultafors Group. And the overall market conditions continue to be challenging for Hultafors Group in both Europe and North America. The North America market is more affected compared to Europe, not least due to the tariffs. Net sales is down organically by 3% compared to the corresponding quarter last year. The profit margin is lower than last year, mainly due to lower sales and investments within product development and marketing initiatives. And the adjusted operating profit amount to SEK 205 million with a margin of 12.9%, which shall be seen as a good performance under the circumstances. We do, however, continue to invest for future growth and of course announced an investment in expanded production capacity in Europe during the quarter, strengthening the group longer. All in all, very well managed by [ Andersen ] team. Let's then turn page and take a look at Innovalift. And order intake is growing by a strong 29.3%, supported by both acquisition and organic growth, primarily within the Components & Modernization division. The organic growth was 10.8%. Net sales grew by 35% during the quarter, driven by acquisitions as well as healthy organic growth of 9%. The gross margin continues to improve step by step, however, slightly negatively affected by cost inflation in Turkey. And the quarterly adjusted operating profit amounted to SEK 102 million with a margin of 11.7%. And as Johan mentioned earlier, Innovalift acquired Syntium in U.K. in early April and it expanded its market presence even further within the Components & Modernization division. Very well done, [ Andrea ] and team. We turn page again and look on Latour Industries. And the picture is mixed for Latour Industries' business units, where we see a continued underlying good demand for REAC and MAXAGV, while the forest wood and mining industry is weak in the Nordics, affecting the other business units negatively. Order intake was organically in line with last year and net sales grew 2% organically during the quarter. Adjusted operating profit amounted to SEK 37 million, driven by a strong result from MAXAGV. The result is negatively affected by currency effects and the weak market climate as well as ongoing investments for future growth. And it shall also be mentioned that Latour industry currently has an of their fixed cost central level following the distribution of Innovalift putting additional pressure on the margin. And as the heading of the picture states, the focus of Latour Industries continues to be on developing the existing holdings and to find new platform investments for the future. Well done, [ Tina ] and team. We then turn page again and look at Nord-Lock. And Nord-Lock continues to develop very strong despite a tough business climate. And as Johan mentioned, is reporting a record quarter on several parameters. Order intake amounts to SEK 623 million, which is an all-time high for a quarter and corresponds to an organic growth of 28%. Superbolt contributes to the growth by recording a large order of SEK 100 million in the quarter, really well done. The net sales level is also all-time high for the quarter, growing organically by 16%, driven by strong sales in EMEA and Americas. And the quarterly adjusted operating profit increased to SEK 157 million with a strong operating margin of 29.8%, which also is an all-time high figure. And as mentioned before, Nord-Lock has acquired 75% of the shares in Energy Bolting in the U.K., complementing the product portfolio in a very nice way. So a really strong quarter for Nord- Lock and very well done, [ Daniel ] and your team. We then turn to page to our final business area, Swegon. And order intake slowed down slightly during the quarter and is organically in line with previous year's level. Given the business climate, this is a fairly good performance. Net sales grew during the quarter due to acquisition and organic sales are down by 4% compared to last year. However, key markets, Sweden, North America and the Netherlands are developing positively in the quarter. Profit margin is lower than last year, affected negatively by lower volumes, currency effects, investments in development and other growth-oriented investments. And the adjusted operating profit came in at SEK 282 million with a margin of 10.9%. Overall, a solid quarter in a challenging environment but also with future nice potential when volumes come back and ongoing investments materialize. Very well done, [ Andreas ] and your team. That summarizes our run through of the business areas and we turn page and look at the net asset value picture. And the net asset value decreased by 1.9% adjusted for dividends during the 6 months and amounted to SEK 207 per share to be compared to the SIXRX that increased by 2.3%. The share price at the end of June was SEK 249, which means that there is a premium of 20% compared to how we present the net asset value. And as of yesterday, the net asset value was SEK 212 per share and the share price on the -- closed at SEK 244, which gives you a premium of about 15%. The consolidated net debt increased during the quarter from SEK 15.4 billion to SEK 16.9 billion and this is explained by acquisitions and paid dividend in the period. And the net debt corresponds to about 11% of the market value of our investments, leaving headroom for further acquisition. And with that summarizes my part of the presentation and I hand over back to you, Johan.
Johan Hjertonsson: Thank you, Mikael. Great. And going to comment on our financial targets and a summary of our financial targets. So during the last 12 months, we've had growth of 8%, EBIT margin of 14.1% and return on operating capital of 14.3%. This is an outcome that we're very pleased with. The targets are to be seen over a business cycle and we are in a recession. Growth is once again increasing much due to acquisitions but also by organic growth. EBIT margin is still strong and return on operating capital is satisfying. And if we go to the next slide, yes. Thanks. To summarize, we are very happy with the development in the second quarter, especially considering the business climate, as I've mentioned now a couple of times. Our businesses are growing and profitability is on a good level despite currency headwind and various market challenges as we have discussed. Latour is a long-term sustainable investment company and a responsible owner. We continue to invest in our companies to enable future growth and create value for our shareholders. In addition, we have a strong corporate culture that we cherish and that we continue to strengthen, which is of great value when we move forward in a quite turbulent global world. So thank you very much for listening and I open up and Mikael and I are ready to take questions. Thank you.
Operator: [Operator Instructions] The next question comes from Linus Sigurdson from DNB Carnegie.
Linus Sigurdson: Starting off with a question on the overall demand picture in industrial operations, I recognize it's very different across markets, across business areas. But is there anything you can say about the start to Q3? Is it fair to assume that demand improved during Q2 and is better going into Q3 than going into Q2?
Johan Hjertonsson: Thank you, Linus. As you know, we are quite careful in doing too much forward looking statements. But I could say that we saw that demand was quite good also at the end of Q2.
Linus Sigurdson: Okay. And then on Nord-Lock, I understand that the solutions that they sell are critical. But I suppose just like last quarter, I struggle to fully understand what's driving the strong organic growth. Which end markets or industries are driving this strong performance?
Johan Hjertonsson: It's -- I would say, first and foremost, it's a very strong performance by the Nord-Lock company and group and the team within -- in Nord-Lock and they are taking market share in some markets. But the -- so that's that I'd like to say is the main reason. It's more our own performance in the market with our products rather than the strong market in itself, in that sense, Linus.
Linus Sigurdson: Okay. And that's really interesting. And then this major order that you wrote about for 2026, is there anything at all you can say about what type of customer is we're talking about?
Johan Hjertonsson: It's a larger type of government customer [indiscernible].
Linus Sigurdson: Okay. And then my final question on the negative gross margin impact from currency movements. Is there any indication at all you can give on how big this is and where in the business you see it most prominently?
Johan Hjertonsson: It goes across most of the businesses. I mean, most of our businesses have a quite substantial sales in other currencies than Swedish kronas. But it has -- I mean, the main reason is the strengthening of the Swedish krona, which I think long term is actually good for Sweden and companies in Sweden. So it's just -- it's more a short-term challenge when you compare with the comparison numbers from last year but that will naturally wash out in that sense. Mikael I don't know if you -- would you like to add to that?
Mikael Johnsson Albrektsson: No, no. I think you are correct. And I think as it varies, I mean, between countries and between business areas, it would be hard to say one generic answer that is the correct answer to the question. So I just want to echo what you said there, Johan.
Johan Hjertonsson: Yes. Thank you, Mikael. I hope that we shed some light on your questions, Linus. Thank you for your questions.
Operator: There are no more questions at this time. So I hand the conference back to the speakers for any closing comments.
Johan Hjertonsson: Good. And there's no questions in the chat, right, Mikael? No?
Mikael Johnsson Albrektsson: No.
Johan Hjertonsson: Okay. Fantastic. Thank you all for listening in. And I wish you all a great continued day and a great week and speak to you when we are at the quarter 3 results later on. Thanks. Thanks, everybody and thereby, we end the conference.